Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Qualcomm first quarter fiscal 2010 conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. (Operator instructions) As a reminder, this conference is being recorded January 27, 2010. The playback number for today’s call is 800-642-1687. International callers, please dial 706-645-9291. The playback reservation number is 50788237. I would now like to turn the call over to Warren Kneeshaw, Vice President of Investor Relations. Mr. Kneeshaw, please go ahead.
Warren Kneeshaw: Thank you and good afternoon. Today's call will include prepared remarks by Steve Altman, Steve Mollenkopf, and Bill Keitel. In addition, Don Rosenberg and Derek Aberle will join the question-and-answer session. Dr. Paul Jacobs is unavailable as he is chairing a next generation mobile communication-working group at the World Economic Forum in Davos, Switzerland. An Internet presentation and audio broadcast accompany this call and you can access them by visiting www.qualcomm.com. During the conference call, if we use any non-GAAP financial measures as defined by the SEC and Regulation G, you can find the required reconciliations to GAAP on our website. I would also like to direct you to our 10-Q and earnings release, which were filed and furnished respectively with the SEC today and are available on our website. We may make forward-looking statement relating to our expectations and other future events that may differ materially from Qualcomm's actual results. Please review our SEC filings for a detailed presentation of each of our businesses and associated risks and other important factors that may cause our actual results to differ from these forward-looking statements. And now it is my pleasure to introduce Qualcomm's President, Steve Altman.
Steven Altman: Thank you, Warren, and good afternoon everyone. In the first quarter, we had continued strong operating performance with pro forma earnings per share of $0.62 exceeding the high end of our prior guidance. Our results were driven by healthy demand for our chipsets, strong shipments of 3G devices by our licensees and lower operating expenses. Operating cash flow was $1.2 billion for the quarter and we had approximately $18.9 billion in cash and marketable securities at the end of the quarter. We continue to execute on our strategic objectives, see healthy growth in 3G and are very encouraged by customer traction with our new products, including our industry leading Snapdragon chipsets as evidenced by the many recent product launches and announcements made by our partners. Industry analysts and trade groups report that approximately 85% of worldwide operators have now launched 3G networks, underscoring the continued migration of 2G to 3G. According to wireless intelligence, there are now approximately 945 million 3G subscribers worldwide, an increase of more than 30% year-over-year. Operators continue to leverage their 3G investments with improvements in their mobile broadband offerings. With consumer demand for data services on the rise, we continue to see a growing number of innovative and exciting 3G devices. According to Informa Telecoms, smartphone shipments as a percentage of total handset shipments are expected to increase from approximately 20% in 2009 to approximately 40% in 2014. The success of smartphones is creating an increased level of competition amongst traditional handset companies, as well as a new set of entrants vying to capture a piece of this fast growing segment. The convergence of the computing consumer electronics and wireless markets is underway. We are seeing new emerging 3G connected device categories such as smartbook devices and e-book readers that provide exciting opportunities for us and our partners. The recent consumer electronic show highlighted a significant increase in the level of innovation and competition for e-book readers with 3G connectivity becoming a critical must have feature. We believe that our mirasol display technology will further drive innovation in this space by providing color and video capability while consuming much lower amounts of power than traditional displays. We are ramping up to commercialize these capabilities in order to have mirasol color displays for e-book readers towards the end of calendar year 2010. Mobile data continues to be a key component of revenue growth for 3G operators around the globe. For example, according to the industry research, in the United States 20% of Americans are accessing the mobile web everyday and in Asia Informa Telecoms reports that the ARPU with 3G user is generally 25% higher than that of a 2G user. On a global level, according to analysts, service revenues for mobile broadband are expected to double from 2009 to 2013. North America continues to be one of the leading regions for advanced 3G devices in the world. Yesterday, Verizon announced quarterly wireless data revenue growth of greater than 26% over the last year and those data revenues now account for 31.9% of all wireless service revenues, up from 26.5% reported in the fourth quarter of 2008. In addition, AT&T recently announced a significant initiative called Apps to All, which aims to expand the universe of mobile applications beyond smart phones to more mobile devices. Included in this plan is a move to our Brew Mobile Platform on AT&T's quick messaging device category which according to AT&T is one of the company’ fastest growing categories. Devices will begin rolling out in the second half of this year. By the end of 2011, AT&T expects majority of their quick messaging devices to be based on our Brew Mobile Platform. We’re also seeing more innovation in data pricing strategies with several operators recently announcing new pricing plans aimed at spurring data usage. In Europe, 3G growth continues despite continued economic head wind. According to Wireless Intelligence, the number of European 3G subscribers exceeded 200 million during the fourth quarter of calendar 2009, representing more than a 45% year-over-year growth. Attractive new devices continue to be introduced and carriers remain committed to driving daily usage and connectivity as evidenced by the relatively strong demand for 3G data modems in the region. The transition to HSPA+ have been a bit slower than forecasted but download speeds of 21 mega bits per seconds supported in HSPA+ is still expected to be the next data rate base line according to a recent survey of operators by the Global Mobile Suppliers Association. Emerging regions will continue to be a key growth area for 3G in the years to come. Informa predicts that by 2012, emerging regions will account for more than 50% of 3G-handset shipments. We are addressing these regions with products such as our QCT single chip solutions and the Brew Mobile Platform operating systems. In China, operators have been focused on the aggressive build out of their 3G networks. According to China’s Ministry of Industry and Information Technology, China’s 3G carriers invested more than $20 billion in 3G infrastructure in 2009, including a deployment of 325,000 base stations. China Telecom has been successful with their initial focus on driving subscriber growth by leveraging their 1X network. Operator reports indicate they had added more than 28 million CDMA subscribers over the last 12 months. At the same time they have been expanding their EVDO Rev. A network which now covers more than 340 cities. China Unicom has also been aggressively rolling out their 3G network and has reported that their networks now covers approximately 300 cities with HSDPA download speed of greater than 7.2 megabits per second. With mature networks in place and operators gain 3G experience, we expect a variety of new devices and services to be introduced in calendar year 2010 that will help to continue to drive growth in China. In India, recent reports indicate that 3G licenses are anticipated by the end of March. But this process has been delayed several times, so we’ll not attempt to predict exactly when licenses will be granted. In the meantime, operator reports indicate both BSNL and MTNL have launched HSPA services and as of the end of December 2009 they have reached a subscriber base of just under one million. The Indian CDMA service providers have launched EVDO mobile broadband services with strong initial traction in USB modems and dongles. Latin America operators now reports 65 3G networks in operation, an increase of 18% as compared to last year. As a result, more than 50% of the population now has access to 3G services. In addition, 3G spectrum auctions are on the horizon in Mexico and Brazil, which will provide operators with additional spectrum to support 3G data services. Turning to the licensing business, we continue to license and enable additional companies to manufacture and sell products for the growing 3G and future 4G eco systems. We now have more than 100 CDMA based licensees worldwide. We continue to make good progress with our single mode 4G licensing program that have now signed long term royalty bearing 4G license agreements which cover LTE and WiMAX with the top three handset manufactures in the world. Looking forward, we are reaffirming our calendar year 2010 3G device forecast which is an increase of approximately 21% year-over-year based on mid point estimates. As anticipated, we see a competitive pricing environment in chipset this year and we are leveraging the R&D investments we have made to offer single chip integrated solutions to target share gains in this environment. A subdued economic recovery in developed regions, including Europe and Japan, combined with relative strength at the lower end of the market is impacting our estimated 3G device average selling price and the chipset mix for this fiscal year. Accordingly, as Bill will cover in more detail, we are modestly reducing our revenue estimates to reflect this near term market situation, but are maintaining our earnings per share guidance. Fundamentals of our business remain strong as does the outlook for 2010 and beyond with the continuing migration of 2G to 3G and the introduction of new types of cutting edge 3G devices. We continue to invest in innovative new products and solutions that will reinforce our leadership position and drive growth. That concludes my comments. I’ll now turn the call over to Steve Mollenkopf.
Steve Mollenkopf: Thank you, Steve. QCT continued our track record of strong execution and I would like to discuss the highlights. QCT shipped approximately $92 million chipsets in the first quarter of fiscal 2010. This is at the high end of our most recent guidance and a 46% increase compared to the same quarter a year ago. We generated revenue of approximately $1.6 billion, an increase of 21% year-over-year. Our earnings before tax for the quarter was $425 million, which is more than 150% higher than the year ago quarter. Consistent with our previous guidance, the average revenue per MSM was approximately 6% lower than the previous quarter. As we anticipated, chipset demand increased for entry-level phones and USB modems, particularly for emerging markets and became a larger percentage of our total unit volume. We expect this trend to continue in the near term, indicating healthy demand for our data device chipsets and relative strength at the lower end of the market in multiple regions. In regions like China and Europe, the pace of transition to new technologies such as EVDO Revision A and HSPA+ has been slower than expected. Historically, the migration to new technologies has been one of the more difficult events to forecast. And in these cases has been further complicated by macroeconomic conditions. These migrations are underway but as yet are not showing through in our product mix and average ASPs. We remain positive about the opportunities in 3G, we are confident in our position supporting products across all market segments. QCT has invested in highly integrated products in recent years to specifically address the current market environment. We are thus able to after compelling solutions for all device tiers, while also maximizing cost efficiencies. Our broad chipset road map has lead to steady market share gains. For example QCT UMTS shipments this quarter grew 52% year-over-year and our calendar 2009 UMTS shipments grew at a greater rate than the overall UMTS device shipment. And we believe we continue to build share in this segment. Adding to our confidence in our market position, QCT has seen growth in designing activity across our entire portfolio of products over the last quarter. As seen at the most recent consumer electronics show, our first generations Snapdragon chipset power some of the most compelling devices on the market today, including the Google Nexus One smartphone and the Lenovo Skylight smart book device. Others Snapdragon enabled products introduced to the market include the Lenovo IdeaPad U1 Hybrid, Sony Ericsson’s Xperia X10, HTC's HD2 and LG's eXpo. The fact that the new devices are based on a variety of different high level-operating systems underscores the breadth of our software capabilities. QCT's chipsets power the vast majority of smart phones in the market today running Android and Windows and we continue to expand our support for other high level operating systems such as Symbian and Chrome. As these products begin to ship in volume and additional devices launch over the next few quarters, we expect the industry momentum behind our integrated product offerings will continue to grow. For mass market device categories beyond smart phones, Qualcomm’s Brew Mobile Platform is being adopted by AT&T for their fast growing quick messaging category as part of the Apps for All initiative. Brew Mobile Platform will enable carriers like AT&T to expand the capabilities offered by their mass market devices and provide an enhanced data experience. For the most cost sensitive segments of the market, our QSC single-chip solutions are enabling a affordable yet fully featured devices. Huawei recently launch a handset in Indonesia and South America based on our QSC1110 solution that features a QWERTY keyword and a strong emphasis on access to social networks. Our cost effective integrated solutions position us well for the emerging geographies where open markets dominate the distribution channels. We recently announced that we are working on 28-nanometer process geometry with both TSMC and Globalfoundaries. QCT’s emphasis on integration allows us to take full advantage of this technology. Our fundamental approach of offering as much functionality as possible in one chip allows us to reap the technology and cost saving benefits of investing in the 28-nanometer node. Discrete solutions will not gain the same benefit from the smaller geometries. QCT is leading and collaborating with our diverse base of boundary partners to drive the fabless industry toward commercialization of 28-nanometer. As seen over the past several quarters and most recently at CES, the merger of the consumer electronics and wireless industries is taking shape. QCT is well positioned to the lead this trend and there is an increasing breadth of customers, many from outside the traditional wireless industry who are relying on that to help them succeed in this converged market place. With our technology leaderships and broad chipset roadmap, we view the current comparative market environment as an opportunity to further leverage our strengths and to target gain share. Thank you and I will turn this call over to Bill Keitel.
Bill Keitel: Thank you, Steve, and good afternoon, everyone. I will begin with a review of our first quarter results. Revenues of $2.67 billion were up 6% year-over-year and better than the midpoint of our prior guidance. Pro forma operating income was 1.1 billion up 15% year-over-year. Pro forma earnings per share were $0.62 exceeding the high end of our prior guidance. Pro forma combined R&D and SG&A expenses decreased by approximately 5% compared to the prior quarter and were modestly better than our guidance. We shipped 92 million MSM chips during the quarter and average revenue per MSM declined sequentially consistent with our estimates. We estimate that our licensees shipped approximately 133 million new CDMA devices in the September 2009 quarter, slightly above the midpoint of our prior guidance. We estimate the average selling price of CDMA devices was approximately $184 per unit in the September quarter, below our prior estimate of approximately $198. This reflects greater than expected price erosion within certain developed regions including Europe and Japan as well as greater overall mix of lower tier device shipments including data cards. During the quarter, we finalized the accounting treatment of the Samsung license renewal including the non refundable lump sum payments totaling $1.3 billion and an estimated fair value of $136 million in intangible assets for the patents assigned as part of the agreement. Revenue will be recognized over the 50 year life of the agreement on a straight-line basis effective January 2009 and intangible asset value is being amortized to cost of sales beginning from the date the patents were assigned. As such, our fiscal first quarter results includes $71 million in revenue attributable to fiscal 2009. Operating cash flow was approximately $1.2 billion, cash and marketable securities grew to a total of $18.9 billion at the end of the first quarter including $8.6 billion on shore and $10.3 billion offshore. During the first fiscal quarter, we paid dividends of $284 million or $0.17 per share and on January 7th we announced another cash dividend of $0.17 per share payable on March 26. Turning now to our guidance, we estimate that approximately 144 to 149 million CDMA based devices shipped in the December quarter and that calendar 2009 CDMA device shipments were approximately 515 to 520 million new devices. Based on the midpoint of this new estimate, 2009 CDMA device shipments grew approximately 8% year-over-year. Furthermore, we estimate approximately 210 million CDMA 2000 units and 308 million WCDMA units were shipped worldwide in calendar 2009. We are reaffirming our estimate that calendar 2010 CDMA device shipments will be between 600 and 650 million devices, an increase of approximately 16 to 25% year-over-year. We estimate that of the 625 million device midpoint, approximately 231 million units will be CDMA 2000 and approximately 394 million units will be WCDMA. We anticipate average selling prices for CDMA 2000 and WCDMA devices combined would decrease approximately 9.5% year-over-year to approximately $181 for fiscal 2010. Expectations for a subdued economic recovery in developed regions such as Europe and Japan, increasing price competition in the smartphone segment and relative strength of the lower end of the market are decreasing our estimated 3G device average selling price for this fiscal year. Our fiscal year guidance continues to include revenue from the potential resolution of the two licensee disputes we disclosed in November. One licensee continues to pay but we are deferring revenue recognition and proceeding with arbitration. The second licensee is under paying. Accordingly, our fiscal first quarter results and second quarter with guidance reflect less licensing revenues than we believe we truly earned because of these disputes. If these disputes are favorably resolved in fiscal 2010, the associated revenue benefit will be in the range of approximately $200 million. There is the potential that one or both of these disputes will not be concluded this fiscal year. We also continue to estimate that the average QTL royalty rate for fiscal 2010 as you calculate it with the information we provide, and excluding revenue related to the two licensee disputes, to be approximately equal to the rate of our fourth fiscal quarter 2009. As we mentioned in November, QCT is proactively addressing the competitive dynamics in their market. We have made investments in recent years focused on single chip products and these chips have enabled us to offer compelling lower price solutions while maintaining gross margin percentages through manufacturing cost reductions. Although, we expect our chipset average selling price to decrease more this fiscal year than in prior years, as we ship a greater mix of single chip products and lower end products, we are targeting market share gains and leveraging our technology and integration leadership. Based on the current business outlook, we are refining our fiscal 2010 revenue guidance. We now expect fiscal 2010 revenues to be in the range of approximately $10.4 billion to $11 billion as compared to our prior estimate of $10.5 billion to a $11.3 billion. We are reaffirming our fiscal 2010 earnings per share guidance. We anticipate pro forma earnings per share to be in the range of $2.10 to $2.30, an increase of 60 to 76% year-over-year. We expect the combination of pro forma R&D and SG&A expenses to increase approximately 3% year-over-year more than our prior guidance of approximately 4% growth. We estimate our pro forma annual tax rate to be between 21 to 22% consistent with our prior expectation. For the second quarter of fiscal 2010, we estimate revenues to be in the range of approximately $2.4 billion to $2.6 billion. We estimate pro forma earnings per share for the second fiscal quarter to be approximately $0.49 to $0.53. We anticipate shipments of approximately 88 million to 92 million MSM chips during the March quarter and our estimate for CDMA channel inventory is consistent with our prior expectations and remaining at the lower end of the historical range. We estimate that new CDMA based device shipped in the December quarter at an average selling price of approximately $179 per unit. We anticipate second fiscal quarter pro forma R&D, SG&A expenses combined will increase sequentially approximately 8% reflecting normal seasonality as well as increased investment in select R&D programs and increased patent filings. That concludes my comments. I’ll now turn the call back to Warren Kneeshaw.
Warren Kneeshaw: Thank you, Bill. Before we go to our question-and-answer session, I'd like to remind our participants that our goal in this call is to address as many questions as possible before we run out of time. I'd encourage you to limit your questions to one per caller. Operator, we are ready for questions.
Operator: (Operator instructions) Tim Long from Bank of Montreal. Please go ahead with your question.
Tim Long - BMO Capital Markets: Thank you. Bill, if I could just get back to the ASP numbers here, just curious, a few things here, obviously a big miss for what you are expecting the 198 to 184, you did give your guidance about a month, a little over a month after the quarter. So could you just talk a little bit about the surprise there and was it - you gave some of the high level impacts there, but what does it tell you about the forecasting as well and also if you can just talk generally pretty price elastic market, how come we didn’t really see any unit upside based on an almost 10% miss in average selling prices. Thank you,
Bill Keitel: Yeah, it was, given our past accuracy, a relatively large miss for us. So we've spent more time on it obviously. We think the bulk of the miss was just a pure ASP erosion, although there was a substantial regional mix and product mix impact as well. But the bulk of it we think was ASP erosion.. Our digging in so far is telling us that there was a fair amount of unloading of feature phones from inventory and we think there was a little more stocking up of high end there. Recall though, although we gave that guidance in November, as at that time, we really essentially had no licensee reports, that was just a pure estimate and then licensee reports came in subsequent to that. We did see some trends that I think we will use going forward namely that we see some markets that we think it is showing a trend of unloading some phones in this quarter, this will be the September quarter that we're speaking of now in preparation for the December quarter.
Operator: Brian Modoff with Deutsche Bank, please go ahead with your question.
Brian Modoff - Deutsche Bank:
Steve Mollenkopf: We are pretty happy with the design in activity and design in activity share and actually new customer activity, I think we really don’t have anything additional to say. I’d say we are feeling pretty good about that. With regards to the OEM that you mentioned, Nokia, which we talked about last year, things are going the way that we wanted go. In all cases were monitoring how the different OEMs are doing in the various market and waiting for how that’s going to play out for us, but in terms of the development and how we are progressing with those activities, kind of upstream of the sellthrough, we were pretty pleased about that. As you've seen in the past, we have announced a number of new OEMs or strength in certain OEMs really being accelerated by the smartphone transition. So if you see, as people have been going to smartphones, I think it's been playing towards our integrated solution quite a bit. You are starting to see that with Palm and you are starting to see that with some Sony Ericsson as well, so we are pretty happy with how that’s playing out right now.
Operator: Mike Walkley from Piper Jaffray. Please go ahead with your question.
Mike Walkley - Piper Jaffray: Hi, thanks. Just maybe building on that question too. Can you just talk a little bit about this Brew OS and how you size up that market opportunity and if Brew OS has any impact on kind of slowing the development of 3G smartphones, does it give another leg to the feature phone market?
Steven Altman: Mike it’s a similar, very similar view than as you described, the high end smartphone market is moving mass market, it’s moving toward an integrated solution. But there is also a market tier underneath of that which I think AT&T really described well, which was the quick messaging here. And that tier also is looking to go more toward using data and taking advantage of some of the same capabilities that you get in a smartphone, but at a different price point. And we’re supporting that through Brew Mobile Platform. We also think that that technology will be useful for us in order to go after the open market. We think that tier of device is also going to be looking for an app store or data usage capability and it sizes up well for us. So it’s very much a barbell strategy for us in the chipset and the OS side.
Operator: Tim Luke with Barclays Capital, please go ahead with your question.
Tim Luke - Barclays Capital: Thank you so much. Just some clarifications, Bill, on the way you have guided, with respect to first just the handset ASPs, for the year going forward, I think you were saying that it’s going to be 181 and for the coming quarter you will somewhat delay that at 179 having seen a fairly significant decline from 196 in the June period. What’s your expectation in terms of what you think is going to happen that will add the ASPs higher as you move through the year to get to that 181 average. And then Steve, clearly the mix in terms of your ASP is lower, can you just give us some framework for thinking about how you look for it to progress through the year, should this rate of broad slippage in the ASP be continued through the fiscal year. And it looks the way you guided the OpEx but are you going to see significant saving Bill in OpEx in the back half of the year given what you said about sustaining the EPS? Thank you.
Bill Keitel: On the handsets, Tim, we’re looking for after this next quarter, we’re looking for improvements in both regional mix and product mix. Those are the key drivers to the ASP question you had there. Steve, you want to take that mix --.
Steve Mollenkopf: Sure. On the chipset side, it’s obviously the same story. What we’ve seen is really two phenomenon. In the developed world, we’re seeing a bit more of the low end chipsets being sold. I think that’s consistent with some of the carrier report you’ve seen as well. We think that’s a near term phenomenon, we think that is something that will correct itself over the fiscal year. And then the second event is really the delay in some of the emerging markets going to new technology and again we think that’s going to correct itself, but it’s a little bit later than what we had thought. If you look at understanding our operating profit guidance and our ASP, we’re not changing that outlook that we gave in November. So you are going to see it exit the fiscal year a bit more in the range that you are used to, but during this near term issue, you are going to see a little bit of uncharacteristic number there from QCT.
Bill Keitel: Similar, Tim, then your question on OpEx expenses and how we exit the year, we think we will grow total OpEx expense 3% year-over-year. We’re looking for a similar modest Q3 as we’re expecting here for Q2 and then stronger pickup in Q4 of both revenues and operating margins.
Operator: Tal Liani from Bank of America/Merrill Lynch, please go ahead with your question.
Tal Liani - Bank of America/Merrill Lynch: I want to go back to the ASP question. This ASP is relating to look back, it’s relating actually to September quarter. And China, shipments of 3G in China didn't start much until after that. And the plan was, if you look at the number 3 million and 5 million for WCDMA and TDS and the plan for next year is about 40 million together. So first, what happens to ASP when you think about TDS? Is TDS in your general total market size? Does it impact ASP? So if TDS suddenly grows substantially, lower ASPs, does it bring down ASP or it doesn't have any impact? How do you take care of TDS? And second, what happens after that, how do you think about ASPs going forward, just even directionally, because the explanation you give here about the ASP erosion is about feature phones, but we all think that feature phones are going to be replaced in the long run by smartphones, which are more expensive. So are you expecting a U shape in ASP or do you expect it to go up, or you think that there are other factors that we need to take into account later in the year and into 2011, et cetera?
Bill Keitel: In China, Tal, we think the predominant 3G sales today are low end CDMA 2000 and low end WCDMA. We’re looking for improvement as year goes on and the operators leverage the more advanced data networks and hit the product and the offerings such that they can start getting the data ARPU upwards that we’re seeing almost everywhere else around world. But right now we’re think it’s primarily low end. On TDS CDMA, we have a small amount in our estimates for the calendar year, but it’s just that a small amount. Visibility in there for us, we think is relatively low. We’re getting reports and payments on TDS CDMA but nonetheless it’s still relatively low visibility. So it’s a very small component of our forecast at this time.
Operator: Matthew Hoffman with Cowen & Company, please go ahead with your question.
Matthew Hoffman - Cowen & Company: Thanks. A question for Steve. The company has now has had flat to down chip units each of the last three quarters, while sell through of CDMA based handsets have increased in each of those periods. You indicated in your prepared remarks you were gaining share in UMTS, but is there a segment out there like high end HSPA or low end CDMA where you are worried about your positioning and specifically are you seeing share looses in those segments. And then finally, is any of the ASP pressure you are seeing in chips related to an effort to regain share in those segments? Thanks.
Steve Mollenkopf: This is Steve, maybe two part answer. On the first side, I don’t think we’re concerned about share, in fact we think we’re building share particularly as the smartphone transition occurs. Consistent with what we’ve said in previous quarters and in New York in November, we’re seeing price competition in these tiers, but I think we’re able to defend that reasonably well and things are going with respect to the pricing pretty much the way that we thought it would go. But I think we definitely feel good about the share position and in fact we feel good about not just share, but also new customer acquisitions. So I don’t think that’s really the issue as much as a kind of a change in mix here over the near term.
Operator: Ehud Gelblum from Morgan Stanley, please go ahead with your question.
Ehud Gelblum - Morgan Stanley: Hi, thank you very much. First of all, when I do the math on comparing this quarter to last, your guidance for fiscal Q2 versus the quarter you just reported and I do a walkthrough from the EPS of $0.62 to your new guidance, this quarter, you had roughly about $0.04 versus my model of below the line and maybe the tax rate, maybe half a penny or so. But normalizing for that, you’re still sequentially dropping maybe $0.07 or $0.08 from your Q1 to your Q2. Your chip number is basically the same 89 to 92 million for next quarter. Your handset ASP is down clearly for next quarter, but handset units are up. There seems to be a lot of things that are sort of canceling each other out. Can you give us a sense as to what the assumptions are that get us down to that lower EPS? The only thing that is left is chip ASP and is that the only difference in the $0.07 to $0.08 between this quarter and next quarter. And then in a separate thing that’s related, did your, in terms of the handset ASP, have any of the contracts that you signed, whether it's Nokia, Samsung or any of the other ones, did they have any clauses that perhaps put new caps on the highest level of ASP that you could collect a royalty on and so what used to be a royalty on a $400 or $500 phone would now be only royalty on a $300 phone because they're capped. Or is there something like that that could be causing some of what we're seeing on the handset ASP? Thank you.
Bill Keitel: I’ll take that. This is Bill, I’ll take the first part. Q1 to Q2 is sequential change is primarily three fold, one, the pickup in Samsung the past three quarters brought into this quarter, because of proper amortization was from last January. So we are not going to have that in March quarter, number one. Number two, our guidance is holding for the year and we are saying that chipset prices are coming down. We are shipping more of single chip solutions. The gross margin percentage is holding but revenue per chip and gross margin dollars per chip is coming down. Number three, we're forecasting a modest decrease in ASPs, which will have its impact on QTL Q1 to Q2, those three combined drive the difference.
Derek Aberle: Let me just answer the second question there, there really hasn’t been any changes across the licensing program or agreement to change the landscape on caps for high end high price devices.
Operator: Adam Benjamin for Jeffries and Company. Please go ahead with you question. Mr. Benjamin your line is open Moving to the next question from Simona Jankowski from Goldman Sachs. Please go ahead with your question.
Simona Jankowski - Goldman Sachs: Hi. Thank you so much. I just wanted to follow up on the prior question in terms of the royalty first. So it sounds like the December quarter was positively impacted by the catch up vis-à-vis Samsung. But Bill, I think I heard you say that looking forward for the rest of the fiscal year, the royalty is going to be at slightly higher rate as well. So can you just comment on why that would remain at a slightly higher rate even though that was positively impacted in the December quarter from Samsung? And then on the chipset unit guidance, which is flat to down slightly, your normal seasonality is up slightly in the March quarter, and obviously inventories are pretty low and demand is generally improving. So can you just comment why this would be a worse quarter than typical, especially since you don't think you are losing share?
Bill Keitel: On the first question, what I said about the royalty rate, again royalty rate as you had calculated based on the information we disclose that we ended the fiscal 2009, going out of fiscal 2009, rate was up approximately 3.4%. For all of fiscal 2010, we expected to average about that same rate - approximately the same rate, not including the $71 million of Samsung revenues that were earned last year were properly accounted for in the first quarter and not including the upside potential from resolution of the two licensee disputes.
Steve Mollenkopf: So on the quarter-to-quarter, I think what we have seen in the past, there has always been some mild seasonality, it's been sitting underneath of new carrier launches and right now I think there is less, in the grand total of things, less new carrier launches that are pushing the units that we are seeing a little bit of what I would think is normal seasonality, but in the second half of the year, you are starting to see some of that come back. So from year-to-year, it's not exactly growing linearly but I think we are still confident in our share projections.
Operator: Mark McKechnie with Broadpoint AmTech. Please proceed with your question.
Mark McKechnie - Broadpoint AmTech: Hi, great, thanks. Steve, can you tell us a bit about wonder if you can share with us in terms of your market share of 3G chips? And then I also wanted to ask if -- is China ramping up fast enough to actually have n impact on the royalty ASPs and royalty rate? Thanks.
Steve Mollenkopf: This is Steve, maybe I will take the first part of the second question, just talk about chipsets maybe on of my colleagues can take the ASP side, but in terms of share, as you may know, we don’t tend to talk about share in terms of WCDMA other than sort of broadly with respect to how our chipset shipments are going kind of in aggregate, although I would say we feel that that’s going well, both with share inside of existing customer and also acquisition of new customers. Within China on the chipset side, it's ramping in terms of units but those units have been a bit on the lower relative to what we had though, we had been looking little bit more at units coming in at the higher data rates than what we are seeing right now. We think those will happen but near term we are seeing little bit of a softening in terms of the mix not the units.
Bill Keitel: Hi, Mark, this is Bill. On the China ramp, we think China is ramping well, we expect that to continue through the year, near term we are seen more of a low end CDMA 2000 low end WCDMA focus than what we had hoped for but we do expect improvement to the higher end devices as the year progress. So, it’s a positive to the business including licensing business.
Operator: Glen Yeung from Citi. Please go ahead with your question.
Glen Yeung - Citi: Thanks. Do you guys have any opinion about handset inventories that are out in the channel right now, and whether or not you think that is impacting some of your sales? And then the second part is actually looking backwards. On the chipset side, what is the status on the capacity to make those chips today, and how do you think that looks as you look through the rest of the year?
Bill Keitel: On your first question handset inventories, we continue to think the channel is quite lean, averaging in the low end, very low end of the normal, and we continue to see people being cautious and so our forecast for the year assumes that channel continues to stay very lean throughout our fiscal 2010.
Steve Mollenkopf: This is Steve. On the capacity question, I think we feel pretty prepared to deal with any uptick. So, I don’t see that as a big issue at this point.
Operator: Craig Berger from FBR Capital Markets. Please go ahead with your question.
Craig Berger - FBR Capital Markets: Hey, guys. Thanks for taking my question. Can you just help us think about how to understand the timing and magnitude of some of these Snapdragon programs? How big are smartbooks going to be -- you've got the HP win -- any other color or detail you can provide? Thank you.
Steve Mollenkopf: Hi, this is Steve. You should really think of Snapdragon as being sold into two markets, into the handset market and into this incremental market, which we call smartbooks. And I think on the handset side, the move to smartphones clearly has been something that has been moving in the direction that I think benefits us. This new category the smartbooks, it’s a bit too early to say how they will sell through and sort of how you should model then, whether they should be modeled as a PC type unit volume or it should be a phone type unit volume. We tend to view those products as something that looks like a, that tends to act like a big phone. So, we are encouraged actually by the category seems to be developing in terms of consumers use quite bit of innovate products coming out and being announced. But it's a little bit too early to see how the customers are going to react to them and then also how the new OSes that would be used in that market segment, how they're received by the consumer. But in general, we are pretty happy with how Snapdragon's been looking in terms of meeting the proper design point and I think the integration play and the combination of multimedia, 3G and the custom processors has been something I think that has been working for us.
Operator: Phil Cusick from Macquarie. Please go ahead with your question.
Phil Cusick - Macquarie Research Equity: So sort of on the same vein, can you remind of the portion of non-voice devices that are in your 3G forecast and the licensing model there? And then second of all, if nobody else is going to ask it, I’ll ask. We do see a 3G radio in the Apple tablet, can you tell us if that is yours or whether that isn't? Thanks.
Bill Keitel: Non voice devices are in our licensing program. I think the foremost there is data modules both embedded and what we call dongles. Last year we came out and stated that we thought that market was in a range of about 40 to 50 million for 2009. We haven't updated that estimate. Industry analysts have it growing at a good rate this year and we see it growing at strong rate as well. Other than that, you got a growing ebook market. The Amazon device being the current example there, but a lot of new devices coming along. Machine to machine is at an early stage but seeing growing interest there, Telemex [ph] is the obvious one but growing interest there. I think there is going to be lot of new areas coming along, the big one today though is embedded and dongles for laptops.
Phil Cusick - Macquarie Research Equity: But no update on what you think that market looks like?
Bill Keitel: Now we have not given an update on our estimate. We see a number of industry analysis out there with their estimates and after ours last year they seem to combined around more -- a little more consensus on what the industry guys were doing.
Operator: Mark Sue with RBC Capital Markets, please go ahead with your question.
Mark Sue - RBC Capital Markets: Thank you. If we saw an inventory unwind which impacted ASPs, are there proof points that the rewind or the restock is with higher ASP products or for higher ASP regions, is that just a conjecture at this point, and would the -- if as this happens, would that just be one-time positive events or how can we kind of assure investors that a lot of that is just one time? And then separately, does the Apple iPod make you less inclined to continue your investment in mirasol?
Bill Keitel: Okay, I will take the first one, Mark. What we are seeing is actually quite logical that’s its having an impact on channel inventory. We are seeing a greater proportion of low end products and so what we are seeing is the channel adjusting to that for the developing part of the world. On the developed side, we are seeing a bit of the opposite , and I think the trends there were, everybody on this call is familiar with the growing interest in smartphones. So developing world growing on the low end inventory and developed world easing up on low end inventories.
Steve Mollenkopf: This is Steve. The question with regards to mirasol, I think we are actually very happy with the response that we've had from customers about the value proposition for mirasol. It's through the combinations of color, video and the low power that they are used to that in that existing technology that were pretty excited about. I think if anything define -- a product that defines that category, I think the whole category itself will grow and I think that our technology is going to be a differentiator in the long term as well. We actually been quite good about it and I think we talked about a little bit in November that first product based of off our new display, our larger display which has color will launch at the end of this calendar year, so very much exited about that category.
Operator: Stacy Rasgon from Sanford Bernstein, please go ahead with your question.
Stacy Rasgon - Sanford C. Bernstein: Hi guys, can you hear me? Hello? Great, thank you. To get back to the guidance again, so you've got revenue guidance down, you've held your EPS guidance, this is an environment now where I mean you've got device ASPs which are way down, which obviously takes the royalty revenue down commensurately at higher margins, the new ASP guidance on devices still seems to imply an uplift in the second half. I mean can you just be a little clear on what’s actually going on the chipset side or the OpEx side that gives you confidence in maintaining that EPS guidance in the face of what obviously are some headwinds on the royalty business where the margins typically are much higher?
Bill Keitel: If you step back from it, what we’re saying here is we are essentially holding our forecast. We’ve brought down the range on our revenues, a very small low-single digit difference. We are holding our earnings per share guidance, so the view we had as of November is we’re saying we are largely holding to that for the year. There are some puts and takes to that. We are seeing the ASPs a bit lower, we are seeing volume a bit stronger on MSMs. We have seen operating expenses, we expect to be a bit lower. So there is puts and takes. But step back from it, and we are essentially seeing the year, we expect to unfold largely in line with what we said back in November. Stacy Rasgon - Sanford C. Bernstein But I mean even with that, it looks like the OpEx was down a bit beyond the guidance this quarter, but it looks like it’s stepping up again next quarter, you talked about it going up again into the second half. We have got a device ASPs, your new guidance has been down, whatever it is to 4%, again dependant on ASPs increasing again in the second half. In order to reach that we have got chipset ASPs which are still billed 6% this quarter and that potentially is going to continue going forward. Just I guess where I just wonder a little bit is on the licensing side if that step has like 85% operating margins and that’s the area where you seem to be under a lot of pressure. I’m still just a little unclear on what happens and what needs to happen in the rest of the business in order to kind of maintain the same sort of an ASP or same sort of EPS range and given that the areas where you are having pressure tend to be at kind of higher margin than some of the others?
Bill Keitel: The pressure isn’t necessarily on the higher margin stuff, but let’s just back up here quickly. Operating expenses, we forecasted an increase in operating expense 4%, so I don’t relate to you point about what’s going to happen in first quarter to second quarter. What’s happening in the operating expenses is exactly what we said, we expect for the full year instead of growing 4%, we are going to grow 3%. In terms of average ASP per MSM, we're spot on right now to where we thought we were going to be and we continue to expect the year to unfold as we expected back in November. ASPs on the royalty devices, we think is a bit lower. There are some offsets to that as I said in our picture of the year and part of that is we do expect to ship a bit more MSMs in this fiscal year than what we had expected back in November.
Operator: Ladies and gentlemen, we have reached the end of the allotted time for questions and answers. I’ll now turn the call back over to Steven Altman for closing comments.
Steven Altman: Thank you, everyone. I’m not sure if you saw the press this past week noting that Qualcomm was ranked in the top 10 of Fortune Magazine's 100 Best Companies to Work For in America. This is our 12th consecutive year of recognition, an accomplishment that few companies achieve, and we are all very grateful to our employees for their hard work and their continued efforts in making Qualcomm such a great place to work. I’m pleased with our results in the first quarter and the continued execution by our business units on their strategic objectives. We are seeing good traction with products like Snapdragon and Brew Mobile Platform. Subsequent to the CS Show, we are seeing strong interest from companies in our mirasol displays. We have passed some important milestones in our licensing business and the growth of 3G continues at pace. Although we are still feeling some effects from the overall macroeconomic environment, we continue to invest in order to build our competitive position, grow our share and create new and exciting business opportunities. We are excited about the opportunities ahead and our ability to capitalize on it. Thank you.
Operator: And ladies and gentlemen, this does conclude today’s conference call. We thank you for your participation, you may now disconnect.